Operator: Good morning ladies and gentlemen. And welcome to the Genworth Financial Third Quarter Earnings Conference Call. My name is Diana and I will be your coordinator today. At this time all participants are in a listen-only mode. We’ll facilitate a question and session towards the end of this conference call. As a reminder the conference is being recorded for replay purposes. (Operator Instructions) I will now like to turn the presentations over to Alicia Charity, Senior Vice President, Investor Relations. Miss Chari, please, you may proceed.
Alicia Charity: Thank you. Welcome to the Genworth Financial third quarter 2009 earnings conference call. Our press release and financial supplement were both released last and are now posted on our website as well as some additional details regarding investor efforts. Again this quarter we would also (ph) post management prepared comments while in the call (indiscernible) reference. This morning you’ll hear first from Mike Fraizer, our Chairman and CEO, followed by Pat Kelleher, our Chief Financial Officer and then Ronald Joelson, our Chief Investment Officer. Following our prepared comments, we’ll call up for question and answer period. Pam Schutz, Executive Vice President of our Retirement & Protection, Tom Stinson, President, Insurance Products, Tom Mann, Executive Vice President of our International segment and Kevin Schneider, Senior Vice President of U.S. Mortgage Insurance will be available to take questions. With regard the forward-looking statements and the use of non-GAAP financial information, some other statements we make during will contain forward-looking statements or actual results may differ materially from such statements. We advised you to read the cautionary note regarding forward-looking statements and our earnings release and the risks factor section of our most recent Annual Report and Form 10-K filed with SEC in March 2009. This morning discussion also includes non-GAAP financial measure that we believed may be meaningful investors. Our supplements and earnings release non-GAAP haven’t reconciled to GAAP were required and accordance with SEC rules. And finally we talk about International segment results, please note that all percentage changes exclude the impact of foreign exchange. In addition the results we will discuss today for the Canadian mortgage insurance business was like total company results excluding the minority insurance almost, otherwise indicated. And with that let me turn over to Mike Fraizer.
Michael D. Fraizer: Thanks Alicia, and thanks everyone for your time today. Let me begin by saying, I’m pleased (indiscernible) with Genworth strategic execution progress this quarter. And that progress evident on multiple fronts as outline in our earnings release. Moreover this progress represents an acceleration of an important strategies and actions you saw (indiscernible) in the first two quarters of 2009. And steps are up well as we positioned for 2010 and beyond. All economic business and consumer environment remained challenged, Genworth has focused on sound growth and profitability enhancement opportunities that fit with our strengths, expertise, and leadership platforms, engaged with our distribution partners to (ph) play offense and build stronger partnership positions, pursued risk management and loss mitigation opportunities quickly and relentlessly with tangible results, and build capital (ph) buffers and flexibility substantially using a number of levers across our businesses and as a holding company to do so. Now we’ve all seen tremendous change over the past year in response to new realities. In fact, it’s fair to say that we probably passed three to four years of change under normal circumstances (ph) into the past years (ph) generally. And that made sense to us as it became clear that we could emerge from this period stronger and more focused. Today, I’ll concentrate on three areas; our operating environment, our growth strategies (ph) are preceding, and capital deployment. Pat will address key financials and trends and Ron will update you on the progress and outlook across our investments portfolio. Turning to the environment, we were mainly encouraged by times of stabilization and improvement that we are seeing in key areas. Investment losses remained at manageable levels and unrealized losses continued to contract. In both Canada and Australia, home prices and unemployment improved during the quarter and economies are looking better. In Europe, the growth rate of unemployment, a key metric for one of our lifestyle protection lines has moderated and distributors are beginning to focus again on lending opportunities and growth. In the U.S., we see consumers willing to return to invest in an equity markets and purchase or evaluate, protection, retirement and wealth management offerings, so there seems to be some (ph) mixing down and purchase positions to enhance supportability. And in the U.S. margins market, we are seeing what I would describe as two housing risk cycles; the first, attributable to bad products in tough geographies and in some cases bad originators. Here we saw rapid deterioration in certain higher loan balance states through 2008 and in higher risk alternative products. New delinquency development in this smaller portion of our book has (ph) slowed. The second cycle is a traditional unemployment driven pattern of delinquency development among prime borrowers. During the midst of this cycle, which has more predictable characteristics and loss emergence patterns. In this second cycle, we also see an intense effort underway focused on loan modifications. With that as context, let’s turn to our growth agenda. Retirement and protection are refined specialist strategies centered around "main street" life insurance, long term care insurance, and independent advisor, wealth management products and services is proceeding well, and we remained targeted on the annuity front. In international, we concentrated our efforts around mortgage insurance in Canada and Australia and lifestyle protection in Europe and (ph) selected markets. In addition, mortgage insurance in force in Europe continues to decline and is well contained, all we have set the potential for a better European MI business model in the future. Finally in U.S. mortgage insurance, new business reflects a lower risk profile with much higher returns driven by product guideline, underwriting and pricing changes. Here, we are on track executing our plan laid out several quarters ago for this business to be self-contained from a capital standpoint. This division does well to grow and have capacity to support mortgage lending as the housing cycle stabilizes in turns. We also continue to pursue strategies such as legal entity stacking that further enhanced growth flexibility. Now let me go a bit deeper on our progress to enhance our market positions, which includes providing new or refined products, building our distribution footprint and enhancing our service offerings, all in support of our focus (ph) on smart growth. Starting with retirement and protection, we added 11 new distribution relationships in the quarter and expanded products offered with 17 and 15 distributors. In the life insurance business, we are building on our strong position distributing through the brokerage general agency channel. Looking at policy account, we saw good 15% sequential growth in term of policy sold. We are transitioning to our next generation life products, which meet both UL and term insurance consumer needs with more efficient capital design that enhance returns. We launched universal life and survivorship UL products in the third product. An early feedback from distribution has been very positive. Next month we will replace all term life designs with a (ph) high-grade term UL product which we expect to be a lead offering moving forward. Turing to long term care, we rolled out a custom product portfolio for AARP members and are completing the transition and expansion of a new large group LTC customer relationship, the teacher retirement system of Texas. In wealth management we continue to differentiate using service and technology as a competitive advantage. Our objective is simple. Make it easier for independent financial adviser to meet their client needs by providing high value products and support services that reinforce client comforts. We rolled out a more simplified approach for advisers to use with their clients to round up that allocation that helps clients to optimize their portfolios and meet their objectives in a range of market conditions. Finally in variable annuities we remain targeted. Focusing on providing the competitive product in the independent channels in select banks and (ph) buyers. To that end we introduced the new product, RetireReady One which has been well received by the market. Sales increased 41% sequentially to 270 million and we would expect to build up that base moving forward. Overall retirement and protection sales follow our year-over-year achieved good sequential growth and we expect these sales trends to build over time as we gain momentum and move through some of these product transitions. Turning to international in both Canada and Australia, we saw good sales performances. In Canada high LTV lending which has a seasonal up tick in the summer months was strong. I remind you that we expect high loan-to-value originations to contract by an estimated 20% in 2009 reflecting the economic decline despite government initiatives to stimulate first time home ownership. We estimate this will reverse in 2010 with sound growth and high loan-to-value originations. In Canada we are working with our distribution partners to add value through service and technology and see a good opportunity to increase our market share gradually with a target of moving back towards the nearly 40% share position we enjoyed a few years ago. In Australia we saw continued strong sales. The high LTV origination market has remained robust in contrast to Canada as government home ownership incentive programs and lower rate acted as a very effective stimulus. In 2010 that market is expected to trend down from 2009 levels as incentives are reduced to traditional levels and interest rates move up. We had some good success adding to our distribution base here during the quarter, expanding our position with key large lenders. In addition in lifestyle protection we have added nearly 50 new deals across continental Europe. This bring us to U.S. mortgage insurance. As we saw conditions in many housing markets improve in recent months we took appropriate steps to adjust our guidelines. During the quarter we removed about 200 (indiscernible), the more restricted market left where we had been limiting coverages to 90% and below LTVs based on housing market risk factors and we will now write well underwritten business up to 95% loan-to-value. This change notably broadens where we will pursue new business and we expect it to help drive growth in new insurance written as we move into 2010. There are still five states where housing market and economic conditions remain quite challenged. So we have kept restrictive guidelines in place in these markets. Finally turning to capital deployment we substantially increase the holding company capital levels. This gives us the flexibility to fund emerging areas of new business growth, optimize our capital structure, including positioning us well to handle the long term debt maturities and provide an additional buffer against downside risk. More specifically we currently have $1.5 billion of cash at the holding company following the secondary offering in September, which generated $622 million of net proceeds. We repurchased $73 million of our 2012 debt during the quarter and will actively pursue other alternatives to optimize our debt structure and move towards a 20% debt-to-capital ratio, finalizing strategies well before our next long-term debt maturities in the mid-2011 and 2012 timeframe. In addition, as Pat will cover, we have plans in place to reinvest significant levels of excess operating company cash over the next several quarters. In closing, we accomplished a lot over the past 12 months. Doing so required us to be decisive and act swiftly. Our agility allowed us to optimize the alignment of the business and focus on where we can best win. We made aggressive moves to mitigate risk and losses and increase price where warranted and we did what we needed to do to build capital flexibility in a staged fashion of minimizing shareholder dilution. Looking ahead, we have a clear business focus and can now invest strategically in product, distribution, service and technology to drive growth and ROE improvement moving forward. With that, let me turn it over to Pat. Pat?
Patrick B. Kelleher: Thanks, Mike. We have now reported a second sequential quarter of improved financial results as our businesses emerged from the recent financial crisis and economic downturn. during the quarter we have fortified our holding company capital position and improved financial flexibility we have seen further improvements in our investment portfolio and operating results and as Mike detailed, we are encouraged by the positive signs of reemerging new business growth. (Indiscernible) book value per share increase through the second straight quarter and is up 34% since the first quarter to $25.42 per share despite the 13% increase in shares outstanding related to our secondary offering. These financial trends and developments during the quarter included improving fundamentals in equity and credit markets generally, improving business and housing market conditions in Canada and Australia, positive impacts from re-pricing new product and cash reimbursement activities and effective loss mitigation programs, particularly in U.S. mortgage insurance. Here we have seen declining losses for two sequential quarters despite the impact of increasing delinquencies because of the significant increase in loss mitigation saving. This morning our focus on each of our three business segments (Indiscernible) provide some market context, review progress from our financial results perspective and share some views on how we expect trends to develop for the fourth quarter and into 2010. Starting with retirements and protection, we are seeing good continued performance trends. In life insurance, mortality and taxes were favorable in the quarter and we had a 16 million lift from an annual actuarial review of assumptions primarily from (Indiscernible) that were updated to reflect current emerging experience. After excluding both the unlocking and about 10 million relating to favorable mortality and taxes, this level of earnings at the (ph) fair base point from which we expect to grow into 2010. In long-term care sequential results were a bit lower then we would have expected as saw lower policy terminations primarily related to lower mortality which resulted in a 6 million increase in claims. Following several quarters with slightly higher levels of terminations we view this as normal statistical variation. In wealth management, we saw the second straight quarter up positive net flows from adding new financial advisors and from an increased share of assets with our current financial advisors. Solid organic growth coupled with equity market improvements resulted in a 2.1 billion increase in assets under management to 18 billion, a strong recovery back to the level of (Indiscernible) we had a year ago. Looking at October results, we see positive flows continuing and with the strengthened (ph) AUN base we are well positioned for earnings growth going forward. In our retirement income business we experienced mixed results. Our (Indiscernible) income business clearly benefited from favorable equity market conditions with operating earnings increasing on both a year-over-year and sequential quarter basis. Our spread business experienced earnings decline due to continuing spread pressure from holding large cash balances. Overall, we reinvested approximately 700 million of cash during the quarter, but we also took advantage of improving credit markets to sell approximately 1.5 billion of assets to further reduce risk exposure on financials. This negatively impacted spreads and operating earnings particularly in this product line. As we continue to reinvest cash and we do plan to reinvest 2.5 to 3.5 billion of additional cash over the next few quarters, we expect to see a reversal of the negative operating income trend and spread products starting in the fourth quarter. (Indiscernible) institutional business are also impacted by holding high cash balances as well as our decision not to (ph) write new business in this market. During the quarter we had a nominal 2 million gain from repurchases of funding agreement (ph) bank notes compared with the 52 million a year ago. I will note that we continue to respond to opportunities to repurchase these notes to provide liquidity to note holders and did so again in October. Adding results off from a (ph) statutory perspective, (ph) statutory earnings were more than offset by higher capital requirements relating to new business and moderate levels of credit migration. The consolidated risk based capital ratio decreased from 390% to an estimated 370% during the quarter. We are well positioned to meet our year-end target of a 350% or better risk based capital ratio. We do have the flexibility to contribute capital to the (ph) life companies to support additional growth and to manage capital. Trending in the international businesses, mortgage insurance earnings in Canada and Australia improves significantly on a sequential quarter basis and are performing even in the economic pressures in this market. Recent improvements in housing prices in both countries help results and performance through 2009 demonstrates the inherently more stable financial model that results from the single premium product and favorable regulatory frameworks which help manage risk. Let’s take a closer look at Canada. Here employment rates increase from 606% of the close of 2008 to a high of 8.7% in August as the economy slowed. Unemployment on September actually declined from August and (ph) encouraging sign that we will (ph) reclose for monitoring. During the same period housing affordability improved as mortgage interest rates declined from around 5% at the end of 2008 to 4% currently and home prices increased from comparatively low levels in the fourth quarter of 2008. Most regions have now recoup the declines experience during the recent downturn. Improved home prices facilitate loss mitigation activity related to (Indiscernible) unemployment driven delinquencies. As a result, this delinquency rate in Canada which has been relatively stable for the past two quarters at about 30 basis points actually improved the incremental (Indiscernible) third quarter to 28 basis points reflecting this improved trends. The loss ratio declines sequentially by 7 point and operating earnings increase from 58 million to 70 million before talking into account the IPO of minority interest in (Indiscernible) Canada. Turning to Australia, environmental and performance characteristics of this business (Indiscernible) the situation described in Canada. The economy experience three straight quarters of GDP growth which is actually better than Canada, unemployment rates increase from 4.6% of the close of 2008 to a peak of 5.8% in August before declining to 5.7 at the end of the third quarter. Housing affordability increased as most borrowers have floating rate mortgages – mortgage interest rates declined from a higher 9.8% in the third quarter of 2008 to 5.8% currently. As in Canada, home prices increase from relatively low level in the fourth quarter 2008 and most areas recoup the home price decline experience during the recent downturn. Here as well, these conditions facilitate loss mitigation activities related to the delinquencies resulting from higher unemployment. As a result, the delinquency rate declines to 41 basis points from 45 basis points in the second quarter reflecting these improved trends. The loss ratio decline sequentially by 9 point and operating earnings increased from 32 million to 42 million. As we look ahead we will monitor how this recent favorable trends developed in both Canada and Australia and our optimistic (Indiscernible) earnings will remain half or above current levels. Turning to Europe, we’re seeing early signs of recovery in (Indiscernible) protection earnings which have been negatively impacted during 2009 by rising unemployment. Although operating earnings are well below prior year levels as result of these economic conditions. However we did see sequential quarter growth from a low of 4 million in the second quarter to 18 million in the third quarter. Two trends contributed to this, first a considerable flow down in new claim registrations reflecting a slowdown in the face of unemployment growth in Europe, specifically new claim legislation slowed by about 16% compared to prior quarter, contributing 14 million to earnings growth. Second, we completed scheduled repricing and contract renegotiation activity during the quarter, and this contributed about two million of increase to earnings. We’ve now completed this activity for about 20% of targeted accounts and expect to have about 60 to 70% our targeted accounts completed by year-end. The operating earnings impact will increase overtime and we expect about four to six million incremental impact in the fourth quarter from this activity and expect to see (Indiscernible) impacts in future quarters. Given these trends, the repricing and contract renegotiations provide a nice cushion that will help absorb additional loss pressure if economic conditions worsen. All in, we are expecting continued earnings improvement going forward. From a capital plan perspective, our International segment ended the quarter with sound capital rations and we saw sequential increases in regulatory capital ratios in Canada and Australia. Turning to U.S. Mortgage Insurance. Here we had a few moving pieces impacting this quarter’s earnings. Redevelopments were primary drivers of the improvement we saw from Q2. The settlement we previously announced, increased loss mitigation activity and employment and seasonality driven increases and delinquencies. I will briefly explain each development. First, the settlement. We recorded a 62 million one-time after-tax charge in the quarter relating to settlement of the dispute concerning certain bulk master policies. We are pleased with the resolution of this matter. Second, the loss mitigation impacts. We significantly increased loss mitigation activity in the quarter and further increased the rate of rescission of delinquent loans in our flow portfolio. These results reduced the frequency at which delinquent loans in our portfolio are resulting in losses. The impact was particularly significant in what we term the sand states. As part of our normal quarterly loss reserving process, we measure the rate at which delinquent loans are resulting in losses and establish reserves after taking into account our recent historical experience, which includes our loss mitigation results. Due to the increased loss mitigation activity in particular, our loss reserves were reduced by 135 million after-tax. Approximately 65% of this change related to the sand states, while the remainder related to all other geographies. While we would expect continuing benefits from loss mitigation activities in future quarters, we would not expect the impact on loss reserves to be the same order of magnitude that we experienced in the third quarter. Results we achieved were directly related to the changes in staffing and loss mitigation activity as we’ve previously disclosed. Third, the delinquency change impacts. Overall flow delinquencies increased by 14%. Compared with the second quarter, change in delinquencies increased by an incremental 4,400. Included in this change are additional delinquencies driven by seasonality and unemployment, partially offset by increased loss mitigation results, which decreased the number of delinquent loans. All in, this resulted in an additional 57 million after-tax increase in reserves in the quarter. This result is driven by the incremental increase in delinquencies compared with the second quarter, partly offset by reduction in reserve per delinquency associated with the changing geographic mix. I should note that our loss reserve calculation have not anticipated any future increases in the level of loss mitigation activity. This combination of loss mitigation results and national unemployment driven delinquencies contributed to a nearly $3,000 decline in flow reserves per delinquency. About three quarters of that decrease was related to the loss mitigation impacts and the remaining 25% was related to the delinquency change impacts. Looking forward to fourth quarter, we expect to see some continuing unemployment and seasonal pressure on delinquency count, and based on current trend, we expect the reserve per delinquency to trend down but at a slower rate than we saw this quarter. Looking over the next several quarters, we expect the aggregate level of loss mitigation savings to continue to grow with the mix shifting from recessions to loan modification. We are also encouraged by the number of Genworth insured loans that have been approved for the federal government’s Home Affordable Modification Program or HAMP. To date the number of HAMP modifications have been immaterial to our result and therefore has not been factored into our reserves. At the end of the quarter we had approximately 11,500 delinquent notes included in HAMP up from approximately 1,260 in the second quarter. Clearly we are seeing increased activity and this may become more important in 2010. Finally from a capital perspective in USMI, we are confident that the business plan can operate with its current capital plan even if the housing market experiences more sever stress. During the quarter our risk-to-capital ratio increased moderately to 15.1:1 from 14.8:1 which is well within our expectations for the USMI self contained capital plan. In sum, we are optimistic that we are seeing inflection points for many of our businesses. Leading the way we have seen stabilizing trends and good results in Canada and Australia, continuing improvement in the investment portfolio and favorable mortality, morbidity, persistency and market trends in our Retirement and Protection segment. We are putting significant amounts of cash back to work in our operating companies and we have taken prudent loss mitigation actions particularly in U.S. Mortgage Insurance and Lifestyle Protection; these include price increases and product changes to reflect current realities while at the same time positioning our businesses to capitalize on opportunities for growth. We achieved increased financial flexibility from both the minority IPO in Canada and the secondary offering in September and we are ahead of plans with respect to our capital plan. As always affectively managing capital remains a key priority and as we turn our attention to 2010 we are keenly focused positioning Genworth for future growth. Now, I’ll turn it over to Ron.
Ronald P. Joelson: Thanks, Pat. We were pleased to see continued improvement in the investment portfolio for the quarter. Active credit market spread tightening and improved profitability of companies in the corporate portfolio have contributed to the performance and quality of the investment portfolio. This morning my comments are focused on three areas: Third quarter results, including realized and non-realized losses; our investment activities, and how cash deployment and derivative strategies generate yield while mitigating risk, and the performance of our commercial mortgage loan and commercial mortgage backed securities portfolios. Net income in the third quarter included net investment losses of 62 million, net of tax and other adjustments, compared to 59 million last quarter and 478 million in the third quarter of 2008. This includes a 127 million of net other than temporary impairments comprised of 15 million from corporate bonds primarily on CIT Group, 47 million from financial hybrid securities, where downgrades to below investment grade required us to use the impairment rules applicable to equity securities, 47 million from sup-prime and Alt-A RMBS, and 16 million from other structured securities primarily from prime residential mortgage-backed securities. Focusing on structured securities, impairments for the quarter totaled 63 million with 47 million from subprime and Alt-A and only 3 million from CMBS. The 63 million compares with 71 million in the second quarter and a 183 million in the first. Third quarter results included 12 million of gains on derivatives primarily associated with guaranteed minimum withdrawal benefit variable annuities, a change in market value related to credit derivatives offset by modest losses on our capital hedges. We use derivatives primarily to help manage duration and to protect capital adverse interest rate movements. Moving to unrealized losses, total net unrealized losses after tax and other adjustments improved significantly to 1.4 billion from 3 billion in the second quarter and 4.1 billion in the first quarter. This decline is a result of improved market conditions and continuing risk reduction actions. As of quarter end we have a net unrealized gain of 9 million in our corporate government and tax exempt portfolios. Turning to active market strategies and cash deployment, we have been focused on repositioning the portfolio by investing in high-quality (ph) names and in asset classes that improve diversification. We continue to add a broader range of credits where we have no or low exposure on selectively reducing (ph) names with higher concentrations. We also continue to reduce our waiting in banks and financials and have reduced our exposure to this sector through sales and run-off by over $1.5 billion to date – year to-date. For example, in the third quarter, we sold a 103 million of CIT and wrote down 14 million after tax bringing the overall exposure to 46 million at quarter end. We have further reduced our CIT position by an additional 28 million since quarter end, bringing the total to 18 million. This is a significant reduction from the 186 million in the first quarter. We have also been adding selectively in structured securities. In RMBS we are focused on agency and very seasoned prime securities which still offer compelling value versus historic norms; and in ABS, we are looking predominantly at AAA-rated short duration credits, where improved structures offer better credit support. While we continue to underweight real estate and consumer sectors, we are also adding very selectively to our commercial mortgage loan portfolio. Moving to CMBS. This portfolio is 3.9 billion and continues to perform well despite a deteriorating commercial real estate market. We have seen some downgrades, however, 85% of the portfolio remains rated AAA or AA down from 87% in the prior quarter; and impairments are minimal due to the significant subordination levels that have cushioned higher losses that have occurred in the underlying portfolio. Approximately 70% of our holdings are from 2005 and prior vintages. There are three key reasons why we expect our CMBS portfolio to outperform what you see in the market. First is the type and vintage concentration of our positions. About 87% of the conduit portfolio is from 2005 and prior vintages, where the loss characteristics are lower and the losses are more predictable. Second is how conservative we underwrote our positions. Delinquencies have been consistently lower than the market, especially in our large loan book. And despite rating agency downgrades and methodology changes, 91% of the portfolio is rated Single A or better, due in part to our focus on more seasoned paper. Finally, the subordination in our CMBS deals provides significant cushion against losses which we demonstrate to investors by way of our stress test disclosure and exhibits which you can find on our website. Here we look at street estimates of stressed losses on a deal by deal basis, and average those stressed losses lifetime estimates to calculate how many of our deals can stand those stressed losses. 66% are either fully guaranteed agencies or can withstand four times those stressed losses. 97% can withstand 1.2 times that conservative estimate. In addition, we actively monitor and assess our positions and have taken advantage of recent price movements to reduce exposures to some of our riskier holdings. The commercial mortgage loan portfolio performed well in the third quarter with only a modest increase in problem loans. Despite the market headwind, we continue to remain positive about the portfolio and believe it is well positioned to withstand further stress. We had only six loans delinquent for a period of 60 days or more through September, totaling 24 million, and our loan loss reserve increased to 41 million from 33 million. This represented an 8 million pre-tax reduction to net investment income. The $7.7 billion portfolio has an average loan size of 4 million, occupancy average is 90%, and while down slightly from year-end 2008, remains above industry average. Less than 7.5% of the portfolio has occupancy below 70%. Average debt service coverage remains above 1.6 times on our fixed rate portfolio and 2.2 times on our entire portfolio. The current average loan to value in the portfolio is 63% at quarter end, versus 55% at the end of 2008. Last quarter we mentioned that we expected our average, our loan to values to increase as a result of our annual review process. We don’t expect significant increases in the near future. Genworth’s estimate of property values has not fluctuated as much as some may expect, because we generally used above market cap rates and underwrote loans using in place income in the valuation of our property. The economic downturn is certainly affecting commercial real estate, however, we have a limited number of loans maturing over the next two years, with only 4% in 2010, 6% in 2011, so we are less concerned about potential refinancing risk. In sum, I feel good about the progress we have made over the last 12 months and the capabilities that will enhance investment performance going forward. Looking ahead, market improvements, managing down risk positions, increasing sector and asset diversification, and a solid commercial mortgage loan portfolio, all bodes well for our investments and for Genworth. And with that, we’ll open it up to your questions.
Operator: (Operator Instructions) We will take our first question comes from Mark Finkelstein with FPK.
Mark Finkelstein - Fox-Pitt, Kelton: Hey good morning. I just wanted to dive a little bit more into the I guess the reserve per delinquency at the US semi company. I guess what I am trying to – what I am interested in is just how did you actually calculate the estimated savings from loss mitigation, is it based on paid experience? Can you just give maybe more of a granular color on what exactly was done to come to that estimate?
Michael D. Fraizer: Sure Mark and good morning. Let me turn that over to Kevin Schneider. Kevin?
Kevin Schneider: Good morning Mark.
Mark Finkelstein - Fox-Pitt, Kelton: Morning.
Kevin Schneider: I think it’s quite beneficial to start with just to remind here what our process is for loss mitigation because it’s really an upfront focus on loans, when loans are reported to us rather than to focus on them at the point they go to claim. We did it for both investigations and workouts because we think it’s more effective way to get after those loans when a problem is (Indiscernible). What we then do is we go and we investigate those loans, we select the loans for investigation based on some of our models, our risk models, our analytics, we request those loans from our borrower, from our lenders and then once they get into the system then the file is returned, w go through the review process and depending upon the life of the review that could take two or three months to go through. What you saw in this quarter as it relates to our reserve change is our reserve model and the selection of primary case loss reserve factors that we go through on a regular basis, every single quarter, incorporates historical claim and rescission data into the frequency and the severity loss factor calculations. So, in this quarter our loss mitigation efforts which we had been ramping up through out the year continued to identify rescission that were executed. We continue to have increased doubt development, so that increased the number of opportunities that we could go after and identify. And then we began to see the actual realized benefits and improvement in that frequency factor that was driven by those rescissions. And so we – based upon our actual experience for the quarter, we that frequency factor improvement that we realized as a result of rescission and it was it was applied back to our normal reserving process and had the resulted impact that Pat talked for the quarter.
Mark Finkelstein - Fox-Pitt, Kelton: Okay. And then I guess, maybe….
Patrick B. Kelleher: Let me just add to that Mark, think of it this way. If you had the amount of change in improvement driven by the rescission experience that we actually witnessed, it’s then built in the factors applied over the remaining delinquency base, because there is many of those loans that we still have the opportunity to go in and investigate and attempt to cure.
Mark Finkelstein - Fox-Pitt, Kelton: Okay, that’s helpful. And then I guess similarly you raised the estimated loss mitigation for the year to 775 to 825, I assume kind of the explanation for that is similar to what you basically just gave me on the reserve per delinquency.
Patrick B. Kelleher: Well, we have certainly continued to ramp up our focus on, and as you see the trended improvement in our overall loss mitigation savings over the past several quarters, that just continues to extend that out through the fourth quarter this year on top of our year-to-date results of a little over 550 million.
Mark Finkelstein - Fox-Pitt, Kelton: Okay. Is there any HAMP assumptions in that – I know it’s less of an impact kind of this year than next year, is there any HAMP impacting that 775 data.
Patrick B. Kelleher: At this point in time our HAMPs that have completed have had very little impact at all on our loss result. We have a significant ramp up in the number of loans that have entered in to the HAMP trial period. So we have absolutely no impact on our reserves associated with expectations on future HAMP performance. We will treat it the same way as we do our rescission activity. When we see the actual experience then we will include it in our result.
Mark Finkelstein - Fox-Pitt, Kelton: Okay, that’s perfect. Thank you.
Operator: We’ll hear next from Nath Otis with KBW.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Good morning. I think I’ll try to follow up on actually both those questions. Just following up on that reserve adjustment change, anyway you can give a little bit of color into, you talked about the change had to – was related to certain types of delinquencies. Anyway to give a little bit of color on what those delinquencies are that might be the clear ones that are driving new (Indiscernible) change and if not any way to get a little bit of color, what the actual mix is, products mix is of – what’s really being successful from a (Indiscernible) mitigation standpoint right now?
Kevin Schneider: This is Kevin again. It’s a great question. When you look at where we are seeing the recession experience a lot of that activity first of all is in the ’06, ’07 books. We’ve got significant amount of it, particularly in (Indiscernible) which were higher, home (Indiscernible) area is higher, loan balances as a result and generally higher especially product content. So you sort of believe (Indiscernible) together. So if the ’06, ’07 book in California, Florida, Arizona, Nevada, largely and at higher loan amounts in - and lot of it is Alt-A. So the actual expiries then on those product types and on those loan types is then expanded out to the broader delinquency population and hit those delinquencies that are more concentrated in those areas as well.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Okay. All right, so it’s pretty right now it is Alt-A (Indiscernible) the book to business that were – we would expect it to be…
Kevin Schneider: Yes, it’s the same. I would think of it as the same products and types that’s been driving our previous incurred performance up to this point in time.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Is there any idea what percentage it is of prime business?
Kevin Schneider: I don’t have that handy but I would really say – even if you think about our book which was relatively low Alt-A concentration a lot of the, the concentrations we have is drawing off at disproportionate amount of delinquencies. Therefore, you’ve got a lot more opportunities there and that’s what we are really seeing upfront, just not as much from the core book. It’s much of more the Alt-A, some of it the A minus product and the more fully (Indiscernible) product does not have as much recession activity.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Okay. Great. And just on – that makes sense and just following upon your HAMP commentary. With that 1,500 HAMP loans that you shared is included in HAMP – when you say included does that mean there, in their three-month trial or does that mean they didn’t give a HAMP offer?
Kevin Schneider: At the end of the quarter that number was loans that have actually been approved for the HAMP trial. By now those loans are actually in the trial period. That’s up from about 1,200 – that’s up from about 1,200 loans at the end of second quarter. So material ramped up. and I just think that – I think it’s a good question, I’d like to elaborate on it just a little bit more because there’ve been really a lot of discussions around the re-default rates around HAMP and a lot of questions around, is this program really going to work. And I got to tell you we remain cautiously optimistic about it and fully supportive of the government’s efforts and the administration’s efforts on both HAMP and HARP. The way we look at our book we say – we think there’s about 40 to 50% of our eligible delinquency population that could qualify for HAMP. So that write-off (ph) the basket pretty big number if look at our current delinquency population and then on top of that you apply even a 50% re-default rate which many are talking about as being something that’s unsuccessful. I think we’ve got to think about it differently. 50% of that potential population would yield very large potential benefit results for us when you compare that back to our current reserve for delinquency level.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Certainly, certainly. One – then I’ll follow-up quickly on that re-default question. Probably haven’t had a chance to think about it yet. But even though (Indiscernible) you had someone go to HAMP, do go the through trial period, going to be performing loan again and then re-default. Would you anticipate any change in your reserve methodology with that loan versus say, a new 30-day delinquent loan?
Kevin Schneider: No. That’s (ph) the advantage of process and they successfully maintain and pay their loans for three months and the documentation is closed allowing them to close the modification and that’s – you know I like with it, it’s going to take about six months to get there. At that point that became a performing loan. That’s why we retreated (ph) and the next time through we retreated (ph) through our normal cash reserving process as we did today.
Nathaniel Otis - Keefe, Bruyette & Woods, Inc.: Okay. Great. Thank you.
Operator: Our next question will come from Andrew Kligerman with UBS.
Andrew Kligerman - UBS: Hi, good morning. Staying on USMI since it is so popular. I just want to make sure I understood Pat’s comment earlier. He mentioned that the rescission’s involved 135 million in change or reversal in reserve assumption. Is that correct?
Kevin Schneider: Yes, that’s the after-tax impact of that rescission adjustment in our loss provisioning was 135 for the quarter.
Andrew Kligerman - UBS: So, it’s an after-tax number. So if I apply that to your loss ratio, then that would be somewhere in the 120ish percentage point benefit to reserves this quarter, is that correct?
Kevin Schneider: Yes, you’d get essentially added back in to on top of our current reported loss ratio.
Andrew Kligerman - UBS: Right, so I’d thought that the XC arbitration charge it would’ve been about 162%, it would have been closer to 282 without the rescission assumption I suspect.
Kevin Schneider: If you – first you’re adding that back – you’re adding that back in on top of the number without the settlement.
Andrew Kligerman - UBS: Without the – yes because that’s…
Kevin Schneider: I think that’s how you have to think about it because that was a one-time event.
Andrew Kligerman - UBS: Okay. And then just very encouraging comment a moment ago about the 11500 delinquent loan spending, if I understood that, you guys think that roughly 40-50% of these things can qualify for half and of all your other delinquent loans you think that 40 or 50% -- I’m sorry let me just get this right. You said 40 or 50% of your delinquent loans overall will qualify, correct?
Kevin Schneider: Yes.
Andrew Kligerman - UBS: And of these 11,500 are you getting the sense that half of them will actually get modified as you are applying. Are you that optimistic?
Kevin Schneider: We simply do not have enough data yet to see what the flow chart is going to be out of the trial period. When I start with 45 to 50% eligibility, the program is geared to owned or operate or owned or occupied homes. So if I just take this rate cut of owned or occupied homes out of our delinquency calculation and then think about some of our other analytics about what would it take to a borrower to qualify to 31 debt-to-income level target. That’s how we get to the 45 to 50% level. But it’s premature at this point to declare what we believe the trial period success rate will be.
Andrew Kligerman - UBS: Okay. But you’re still somewhat optimistic around it.
Kevin Schneider: I remain optimistic around it. I really think that there was a lot of discussion around this in the marketplace and if we at a 100% success rate we are simply not targeting enough borrowers. And so while we will certainly be going after impacting re-default rate that’s above – that’s below 50%, again he’d be in a 50% level, we’re optimistic. If that will help materially.
Andrew Kligerman - UBS: Okay. And then I just want to kind of round out on this to get back to where I really wanted to go. So if you take that 280ish percent loss ratio that I would estimate for this quarter x the rescission. And I think I heard Pat mention earlier that there is an expectation in delinquency rate should come down a little more even in the fourth quarter despite the fact that 4Q is high in seasonality. Where do you think the loss ratio can go from that 282. I mean should we see a sharp fall off. Should we see it hanging around at 280 level for the next several quarter. I mean what kind of trajectories, can we expect over the next few quarters.
Patrick B. Kelleher: Andrew this is Pat. I’d like to offer a perspective on at least how I am looking at the loss ratio is the math of your calculation is correct, but I would suggest that the change in the loss ratio associated with the demonstrated effectiveness of loss mitigation activity should be viewed as a measure of the effectiveness of the program and from our perspective, in terms of best estimate of the portion of delinquencies which will ultimately develop into losses. A rescission is just as good as cure via other means. So, that from my perspective has been a positive development which bring down our loss ratio. And with respect to the other comment on continuing impact, we didn’t indicate that the delinquency rate would be expected to decline in the fourth quarter but we did indicate that (Indiscernible) these ongoing activity as well as the (Indiscernible) changing mix of business that reserve per delinquency should continue to trend down and that’s really a measure of both that mix of business change as well as the ongoing effectiveness of the loss mitigation program. So I would view expected loss results in the context of after the impact of loss mitigation.
Andrew Kligerman - UBS: Okay, so the starting point should be closer to this (Indiscernible) arbitration charge, not that (Indiscernible) number?
Patrick B. Kelleher: Yeah.
Andrew Kligerman - UBS: Okay, and then no cover around the quantity of doing (Indiscernible) going forward is just the reserve per delinquency. Okay, I mean I guess I will take it off one but I – maybe I am thinking of it the wrong way but I am thinking with recession assumption changes more of a one-time thing but you’re saying that this could continue forward. And I’ll take more detail offline but as you actually think it can go forward.
Michael D. Fraizer: Andrew, it’s Mike. Let me give it to Kevin for a little more color but I mean this – just remember this is current experience and this is real benefit. And as Pat said in his remarks, we see it as we move in next year, material benefit continuing to come from loss mitigating as it built off the stage. So you’re going to have more modification benefit content. Kevin, you want to provide any additional color?
Kevin Schneider: Yeah, I do. I would like to provide some additional environmental color for everybody on the phone because I think we are helpful. We have four months of home price improvement that we recognize in the marketplace. We see some stability developed in the marketplace. Total inventory is down through September about 7% from where it was which is really the lowest level of available unsold inventory since April 2006. So we are seeing some encouraging signs of market stabilization but we remain cautious on potential further unsold inventory pressures associated with foreclosures. As a result, we continue to manage our business assuming there’s going to be some downward pressure on home price appreciation. At this point in time if you think about that on a National Association of Realtors basis, we’re still managing the business. I think it may go down 10% more before it’s all over. On a FHFA index, which we think probably more resembles really our booked portfolio, we think there’s potential seven more points to decline there. The reason that’s important is that coupled with ongoing pressures on unemployment, because unemployment I believe is going to tick up a little bit above 10% and trend that way for fair amount of next year until we see it start to come down, that’s going to going to pressure delinquencies going forward. So we are going to continue to see little bit of delinquency build. What I think you will see is continued opportunity to drive down reserve for delinquency because the delinquencies are beginning not to come from lower loan balance state. They are not as concentrated in the specialty product and the high loan home price state. So, that mix is starting to be effective in run-through of our provisioning as well as the real life benefits of those loss mitigations to help that or help you think about going forward as we close up this year another into 2010.
Andrew Kligerman - UBS: I mean this is great color. I guess with so many contrarian pros and cons going in different directions. Do you think we go up here in terms of loss ratios or we go down? I am going to keep it really blunt.
Michael D. Fraizer: Well, what I would do (Indiscernible) stay tuned.
Andrew Kligerman - UBS: Stay tuned?
Michael D. Fraizer: Yeah.
Andrew Kligerman - UBS: Optimistic or pessimistic? I am going to stay tuned. I just want to know whether it would be optimistic or pessimistic.
Michael D. Fraizer: Hey, we’re focused on executing our strategy and we’ll continue to update you on this. Hopefully, it depends well on our investor day and at the next quarter call.
Andrew Kligerman - UBS: Okay, I got some follow-ups but I’ll get out of here and get back in the queue for later.
Michael D. Fraizer: Thank you.
Operator: We’ll take our next question from Donna Halverstadt with Goldman Sachs.
Donna Halverstadt - Goldman Sachs: Good morning. Congratulations on your quarter. I had one strategic question I wanted to ask about on mortgage insurance. I know that time and place (Indiscernible) and running it on the self-contained capital perspective is I understand where you need it to be, but at some point going forward there will be the next strategic decision taken and I am not going to ask you to speculate on what that might be. But I am curious about the timeframe. And when you think about strategic alternatives for USMI, will you want to wait to finalize your own internal decisions until it’s clear? What the outcome would be if the administration’s actions related to the GSE’s structure and role in Charter, or would you like to finalize your own decisions before the GSE topic has resolved.
Michael D. Fraizer: Donna, this is Mike. I’ll give you a few different perspectives, first let me start at the end. It could take some amount of time to figure out what the public policy and governmental approach will be regarding the GSEs, so that’s one that we will closely monitor and along with others, in the mortgage industry and the mortgage insurance industry being gauged in that dialog and we will just have to see where that goes. Second perspective I’ll provide is it’s clear that we’ve approached this market and taken our business platform and approached it aggressively to improve the business model and here’s a business model where we have basically now doubled the effective returns with some upside. We have taken down the volatility, we’ve taken up the quality, and we have great capital strength. So the way we are approaching this is we have a lot of value – shareholder value to recreate here. And that’s what we are focused on doing. Kevin and the team have done a wonderful job on that front. Continue to execute very well on that front. It’s good, frankly for America, if you need that counter-party risk in the lending system and we are also a big proponent of spreading good underwriting practices and we are going to be a very energetic on all of those fronts. Longer term, your implicit question is how you are going to manage your mix of business. And we like all – unlike others, we’ll always look at our portfolio over the years. We’ll look at that strategically, we’ll actively manage it. Any calls on how you would change that mix, specifically would be premature as I have shared in other conversations over time, I would expect protection and retirement content in the enterprise to come up given our international positions, our domestic position. And where we have housing related exposure to be very focused on where we can indeed win and have these very attractive risk return models and then certainly the pruning we’ve done both internationally and how we focus domestically have shown that we have that model in place right now. So, those would be the three ways I’d suggest you think about it.
Donna Halverstadt - Goldman Sachs: Okay. One quick follow up I agree we’ve aggressively to improve that business model. Do your comments imply that beginning succeeded capital in the near to intermediate term might be on the table.
Michael D. Fraizer: Well, again I’d think about that in three steps. First, we have a lot of excess capital in the business and we because we moved early we pulled out of certain markets and products, managed our volumes carefully. We are very early and proactive on the risk mitigation and loss mitigation front. We’ve created capacity to participate in the rebound of the market, and Kevin’s commercial team is very focused on doing just that. Second is, you have heard and talked about in the industry, we’ve continued to actively study, perhaps some similar but with some differences – approaches in such things as legal entities stack and that creates additional flexibility and capacity. So that’s your second line of flexibility to support growth. Third, it gets to be a different question which says when you have a business that’s making mid-20s returns and performing up north of that and probably will perform north of that for new business, would you consider if you moved to those first two steps, giving us some additional capital on that front. And those returns with those risk profiles, the answer is sure, we just don’t see that as anything immediate because there is tremendous flexibility that Kevin already has in the business but – and that’s the way to think about it.
Donna Halverstadt - Goldman Sachs: Okay, great. And the last quick question is actually on retirement and protection. I’ve been very curious to watch some of the re-tooling he’s done with respect to products and target customers, and you talked about a lot of positive traction you are getting in that business. Can you just comment on what things you are most focused on continuing to do as you re-tool that business and overall what do you think you feel you are in with respect to that transition.
Michael D. Fraizer: I’ll just provide a general comment and turn it over to Pam Schutz. We made great progress. When you get – when you make choices you focus on your leadership position and really engage with your distribution, you can get very positive energy going and I would say that is exactly where we are. Let’s got to more specifically on the platforms, Pam, you want to take that?
Pamela S. Schutz: Yes. Just let me make a few points and one is we are very pleased with our leadership lines that are lifelong term care and wealth management. We have strong competitive positions today in the industry and we believe we have upside in those as we take that forward. In addition, we’ve been very smart about our targeted lines of annuities and Medicare supplement to focus on those distributions and those products where we can win and achieve good returns. Having said that, as we look forward or looking at sequential sales that are improving in our leadership lines, as well as in variable annuity. We are putting on good new business at good returns which will bode well for the future of the business. In addition as was mentioned earlier we are looking at good fundamentals of good mortality in our life business and loss ratios and long-term care, good margins, wealth management and if you look at (ph) where this power going forward, two levers. One is putting cash back to work as well as improve investment performance. So all in all we are very optimistic about taking this business forward.
Donna Halverstadt - Goldman Sachs: Thanks. Thank you for taking my questions.
Michael D. Fraizer: Thank you.
Operator: Ladies and gentlemen, we have time for one final question and that will come from Eric Berg with Barclays Capital.
Eric Berg - Barclays Capital: Thanks very much and good morning. I have two questions. The first, pardon me, first given the extraordinary declines that we have seen in housing prices in some parts of the country more than 50%, why would you be doing, why would you be ensuring 95% loan to value loans and it seemed like the 5% cushion could easily be erased given recent history, is it that you just feel you can price forward or it just struck me as curious given what you have just gone through to the increasing (Indiscernible)?
Kevin Schneider: Hi Eric. This is Kevin. I will take that one. First of all when we think and look at what’s going on in home price decline we look at it at a granular (ph) NSA level and so what are we looking and tracking what (Indiscernible) performed ever to date from the peak to the current point in the cycle and what our expectation is going forward from now to the ultimate drop of the cycle. So our recent expansion and we have been – we have been doing 95s throughout the year in places that work on our declining market (ph) less and our performance from a delinquency standpoint on that production has really been quite attractive, very, very low delinquency levels. Going forward, we have number one increased pricing on 95 above the level of performance variance that we have seen between the 90 to 95 (Indiscernible) three times. So we think we got sufficient price. We think that the collateral and the loss ratios and the box that we are currently underwriting and showing today even previous most recent cycle will stand up to the pricing and stand up to the performance that we are seen at. And then I think you got to remember we moved pretty aggressively early on for our book and we were really holding our horns on this early on the cycle we weathered through, we are starting to see stability coming out the other side and when you think it may impact us just be an ideal time to be doing this still cautiously, still prudently and properly underwritten but what the elimination of almost all the (Indiscernible) risk factors that were running through this production throughout the industry up to this point, we just feel solid about our risk and I will illustrate now in our expectation of that performance.
Eric Berg - Barclays Capital: Second and final question relates to lifestyle protection, you mentioned that in crisis but if you also have been changing products and doing things differently with your distributors, can you provide a couple of just one or two illustrations of the product changes that you made to make this concrete whether in abstract and just tell us how you are changing the relationships with your distributors to mitigate losses? Thank you.
Michael D. Fraizer: Eric, I will give that to Tom Mann. Tom?
Thomas H. Mann: (Indiscernible) this morning and then I think you put the question when you back up from distributors to where – the first part of the answer and that is what we have done in Europe across the board is fundamentally decreased our exposure to the only format cover that we offer. So we are pretty much done that with all distributors where we felt that we had excessive unemployment exposure in what we see with the environment (Indiscernible) next sort of three years. Let me talk a little bit about re-pricing. I will try and do this (Indiscernible). I think the important thing to remember is that the majority of distribution of arrangements that we have in place run about three years. So what we have done is enter into a re-pricing strategy with those various distributors in the context of the three year time span that we have. All of our contracts that re-pricing triggers when we have losses exceed certain (Indiscernible) so what we have done is really three things. We work – we are working to re-price all the contracts that we have today or distributional arrangements where the loss ratios have been breached. Secondly we work with those lenders to re-price our agreements where we think we may be trending towards these higher losses and last but not least when we have solid performance with lenders although we may be decreasing our unemployment exposure we will work to re-price those when their normal contractual renewal period (Indiscernible). With regards to the structures, we like that in three ways. We have the opportunity to increase the price to the consumer or a new business. We have the opportunity to adjust our commission rates which puts more revenue in our pockets and our system if you work for the purpose of covering losses and more (Indiscernible) to your questions we can revise the terms and conditions. A simple example of that is that we may reduce the duration of coverage for unemployment cover as an example. And it’s really there are a lot of distributors and there is a mixture of those three things that we are doing as (ph) Kev mentioned to you we have identified those clients that we think are going to have the most material impact on our operating income. We are about 20% through that re-pricing average of the quarter, 60 to 70% through by the end of the year and you are going to start seeing although the results this quarter were not that strong, you are going to begin to see a very nice incremental bill on quarter by quarter basis as more of our enforced (Indiscernible) will reflect all the actions that I just took you through.
Eric Berg - Barclays Capital: Great, great response. Thanks Tom. All the best to you.
Michael D. Fraizer: Thank you.
Alicia Charity: Thank you all for your time this morning. Unfortunately we have run over our time and there are a number of people who didn’t get to ask questions. So I apologize. I will be available all day to answer your many questions. Thank you.
Operator: Ladies and gentlemen this concludes Genworth Financial’s third quarter earnings conference call. Thank you for your participation. At this time the call will end.